Operator: Hello, everyone. Thank you for standing by, and welcome to the Global Cash Access Holdings Inc. Second Quarter 2015 Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the call will be opened for a question-and-answer session. This conference call is being recorded today, Tuesday, July 28, 2015. And now, I would like to turn the conference over to Todd Valli, Vice President of Corporate Finance and Investor Relations. Please go ahead, sir.
Todd Valli: Thank you, and welcome to the call. Joining me today is President and Chief Executive Officer, Ram Chary; and Executive Vice President and Chief Financial Officer, Randy Taylor. Before we begin, I would like to remind you that the safe harbor disclaimer and our public documents covers this call in a webcast and that some of the comments to be made during this call contain forward-looking statements and assumptions that are subject to risks and uncertainties including, but not limited to, those contained in our SEC filings, all of which are posted within the Investor Relations section of the corporate website. These events could cause actual results to differ materially from those described in our forward-looking statements and as such, we would like to caution against undue reliance on these forward-looking statements. They should not be considered an indication of future performance. We do not intend and assume no obligation to update any forward-looking statement. You are cautioned not to place undue reliance on forward-looking statements, which speak only as of today. In addition, this call may refer to certain non-GAAP measures such as adjusted EBITDA and cash earnings per share. We reference these non-GAAP measures to enhance investor understanding of the underlying trends in our business and to provide better comparability between periods in different years. For a full reconciliation of these non-GAAP measures to GAAP results, please see our earnings press release and related 8-K, both of which are available within the Investor Relation section of our corporate website. Finally, this call is being webcast, which may be also accessed within the Investor Relation section of our corporate website, and a replay of the call will be archived. With that, I am pleased to introduce our President and Chief Executive Officer, Ram Chary.
Ram Chary: Thank you, Todd. Good afternoon, everyone, and thank you for joining us on today’s call. I will provide an update on the key initiatives and integration activities we've undertaken since completing the acquisition of Multimedia late in 2014 including our recently implemented, accelerated, growth focused investment plan that we detailed in this afternoon's press release. After that, Randy will discuss our 2015 second quarter results in more detail before we open the call to your questions. I want to start by noting that a little more than six months into the integration of multimedia, we believe the growth in our operating results and the progress we're achieving in further positioning us as the only supplier of both games and payment solutions for the casino industry is an excellent representation of how we expect the future will evolve over the short and intermediate term. We achieved year-over-year revenue growth for the quarter in both our games and payment segments. For our games business, this year-over-year growth is unique given the current industry landscape. We're all aware of the challenges impacting growth opportunities for spot buyers including a longer replacement cycle, less new casino openings and continued capital constraints for a number of operators. Our ability to increase market and ship share in this operating environment is noteworthy and a testament to the excellent work being done by our team. For our payments business, the ongoing core cash access momentum reflects both continued improvements in gaining volume as well as a value our solutions bring to customers and helping increase cash before. First it’s important to highlight that we remain driven to achieve solid revenue results for both our games and payments businesses in the short and intermediate term. As on a year-over-year basis our Games segment revenue increased over 9% and our Payment segment revenue increased by 5% for the second quarter. Second, we’re undertaking a corporate rebranding initiative that we expect to be in full effect by late next month including a new name and logo mark for the company as well as a new stock ticker symbol on the New York Stock Exchange. As we continue to focus on providing complete solutions for our gaming operators, there is a fundamental need to rebrand the company as we better define our broader opportunities to address our customer's casino for and technology needs. Our new brand will provide us with the unique identity that conveys our intention to be as full service supplier of casino gaming equipment and payment solutions for our customers. Expenses for the rebranding initiative are anticipated cost several million dollars in 2015 with the majority be incurred in the second half of the year. Finally the full year results will also be impacted by our decision to accelerate the timing of a range of growth oriented investments following ongoing customer interactions. Before I share some of the details of what these accelerated investment mean for our company going forward, I want to provide a little more perspective on the current opportunities we’re already executing upon. When we acquired Multimedia we viewed the strategic rationale for the transaction including the opportunity that exist to sell Multimedia's products into our significantly larger payments customer base. Multimedia had clear success as they entered new markets with games that resonated with players in particular the auction based development teams unique culture was expressed very successfully in the games they developed and their ability to garner a consistent, lower single digit market share. We believe that our ability in the near and mid-term to introduce these products to our larger customer base is a key attribute that will enable us to build upon the momentum in the games business. I’m pleased to say that we’re executing on this initiatives. We’ve recently secured commitments with at least four customers who identified our company as both the payments and game solution provider. We also recognize that our larger compliance infrastructure would allow us to gain access to new markets for our game segment at a faster rate and similarly help us to push the larger number of new games through the regulatory approval process. This is being achieved as well and together with our sale of our games products and services into our payments customer base have us on track to grow our Games segment revenue. Since the acquisition of Multimedia, we quickly realized there was not enough available games content and on our previous call we mentioned our plan to double the number of development studios from 8 to 16 over a 12 to 18 month period. We have begun to execute on this by accelerating the timeline for these eight new studios. In fact we’re already in the process of opening two new studios this year, one in Chicago and one in Reno. We expect these studios develop in stages and anticipate they will be fully operational by the end of 2016. For our games business to grow we know that focusing on developing content and working quickly to get these studios operational is in the best interest of our stakeholders even as the investment in the near-term impacts our growth expectations for the second half of the year. With that let me turn the call over to Randy to review our second quarter 2015 results.
Randy Taylor: Thank you, Ron and good afternoon, everyone. Before we move into the results of operations, let me take a few moments to discuss our full year outlook based on the factors Ron discussed about. While we continue to build momentum in both our games and payment segments, we’re mindful of our current business dynamics and the investments required to achieve growth in the short and long-term. Therefore we’ve updated our outlook for full year guidance, which includes our expectations for adjusted EBITDA of between $200 million to $205 million as compared to our prior expectations for full year adjusted EBITDA between $218 million to $228 million. This update is predicated upon certain key assumptions for the second half of the year. One, an increase in R&D cost related to the acceleration of the game development studios, additional cost associated with the rebranding initiative, double-digit revenue growth in our game segment and single digit revenue growth in our payment segment, Now for our second quarter results. 2015 second quarter total revenues were $206.4 million comprised of $54.9 million in revenues from our game segment and $151.5 million in revenues from our payment segment. Game segment revenue increased 9% year-over-year and payment segment revenue increased 5% year-over-year. Adjusted EBITDA increased by $34.7 million to $52.4 million primarily due to the acquisition of Multimedia in December of last year. Adjusted EBITDA for the games segment was $32.5 million, compared to $27.9 million a year ago and adjusted EBITDA for the payment segment was $18.9 million, compared to $17.4 million in the prior year period. We define adjusted EBITDA as earnings before taxes, loss and extinguishment debt, interest, depreciation, amortization, non-cash stock compensation, accretion of contract rights, acquisition cost and other related to the merger and purchase accounting adjustments. Our second quarter 2015 cash EPS was $0.24 per share on $67 million weighted average diluted shares, compared to $0.20 on $67.1 million weighted average diluted shares in the second quarter of 2014. We define cash EPS as net income plus deferred income tax, amortization, non-cash stock compensation, accretion of contract rights, loss and extinguishment of debt, acquisition cost and other costs related to the merger and purchase accounting adjustments. For our Games segment, gaming operations revenue increased approximately 8% year-over-year to a quarterly record $41.4 million. This reflected a 168 unit increase in installed base, including 370 additional higher yielding premium participation games. The year-over-year installed base comparison also reflected a temporary removal of 123 units at a customer’s facility beginning last October to accommodate a renovation at that facility. On a quarterly sequential basis, installed base rose 163 units, inclusive of the additional 44 higher yielding premium participation games. Quarter end the installed base was comprised of 7,858 units in Oklahoma and 5,477 units outside of Oklahoma. The mix of our installed base was 6,936 Class II units and 6,399 Class III units. Our average daily win per unit in the second quarter 2015 was $29.30 up from $28.70 in the year ago period. Revenues from electronic games sales increased 12% year-over-year to $13.5 million as we sold 744 units in Q2, 2015, at an average sales price of $16,476 compared to 616 units sold in the second quarter last year at an average sales price of $17,796. Higher price TournEvent sales comprised 29% of unit sales in the June 2015 quarter, compared to 35% of unit sales in the June 2014 quarter. Overall adjusted EBITDA margin for the games segment was 61% for the 2015 second quarter compared to 55.5% last year primarily driven by lower operating expenses, which included an increase in direct and indirect cost capitalized to inventory and fixed assets. Adjusted EBITDA margin is expected to be in the 50% to 55% range in the second half of the year. Our payments segment, the 5% year-over-year increase in revenues is primarily due to the increased revenue from ATM transactions. This is the first quarter with our comparison to the Caesar's business as we elected not to renew the contact at the end of March 2014. Overall adjusted EBITDA margin for the Payment segment was 12.5% for the June 2015 quarter, compared to 12.2% for June 2014 quarter, driven primarily by higher margins and other revenue due to the contribution from our compliance and efficiency software offerings and improved margins from our fully integrated kiosk sales. We hired a few other cash transaction metrics, first same store cash-to-floor, our best indicator of industry trends increased by 8.4% as compared to the same period last year. Second ATM volume increased for the third consecutive quarter following nearly three years of no such growth. Third, both debit and credit card transactions increased during the quarter. Combined credit and debit cash-to-floor increased by approximately 8.7% for the second quarter 2015, while ATM cash-to-floor increased by approximately 8.3%. Moving on to the balance sheet, cash and cash equivalents were $165 million at June 30, 2015. To clarify, our daily cash balance fluctuates significantly due to our large settlement receivables and settlement liabilities and the ultimate timing of when the cash is received from patrons issuing banks and when we reimburse our Casino customers. Our long-term debt was $1.18 billion at the end of the second quarter, reflecting our borrowings to complete the Multimedia acquisition. We repaid $2.5 million on our term loan during the quarter and the company was in compliance with its debt convents as of June 30, 2015. To recall that in April we refinanced the remaining $335 million of secured senior notes in a private placement thereby reducing the interest rate from 7.75% to 7.25%, which we expect will save approximately $1.7 million in annual interest charges. Capital expenditures for June 30, 2015, were $32.5 million inclusive of $25.1 million in CapEx for our Games segment, of which approximately $13.7 million was associated with game refreshes and related maintenance cost for our installed base. Reflecting some of the accelerated initiatives Ron discussed we now expect full year capital expenditures closer to $70 million inclusive of capitalized software cost and contract rates. Our prior forecast range for the full year capital expenditures was $60 million to $70 million. We continue to expect full year depreciation and amortization expense of between $130 million and $135 million. Although this estimate could change significantly depending on the company's final allocation of the Multimedia purchase price to certain depreciable and amortizable assets as well as non-amortizable goodwill. Regarding our integration activities, we remain on track to achieve our targeted annual run rate of $24 million in cost synergies by the end of the calendar year. As of June 30, 2015, we’ve achieved approximately $21.6 million in annualized savings. Finally I would like to provide update on the sale of the assets of PokerTek business to Jackpot Digital Inc. We signed the agreement to sell the asset at the end of June, but the transaction has not yet closed due to certain conditions that we expect will be completed in the third quarter. These PokerTek assets are not core to our games segment and therefore we do not want to spend resources to support these assets going forward. The revenue loss for the remainder of 2015 has been factored into our updated guidance. With that I’d like to turn the call back to the operator for your questions.
Operator: Thank you. [Operator Instructions] And our first question is from David Bain with Sterne Agee.
David Bain: Great, thank you. So just on guidance I’m hoping to dissect how much of any of the $18 million to $23 million changes to an adjustment of revenue outlook? I think you kept the same verbiage for gaming and payments growth. And then second from there hoping to understand a bit more detail on cost trying to get an idea of the new expected R&D increase versus the previously expected one and maybe you called out some variables in game sales to think about going forward but gross margins going forward versus historical averages for game ops and for payments would be helpful anything to think about there?
Ram Chary: David as you saw we were successful in growing our game segment nearly double-digits and our payment segment mid-single digits in the second quarter and what we’ve reiterated is that we think as we look at the second half that will continue with those kind of results. So to your point, we believe that as you look at our year-over-year comps in the third and fourth quarter will be on a similar track. Relative to some of your detailed questions around pieces of our investment and how much is where and what we've discussed in the past Randy could probably give some of it but I’d recommend we kind of work with you as a follow-up to try to figure out the ones the most lines that might be most effective.
David Bain: Okay. In that case just to be clear then it sounds like the revenue expectation really hasn’t changed from last quarter.
Ram Chary: Well David I guess what I would say is the original was annual guidance and this is really second half. So I think that as you put the second half together obviously in the first quarter we were down and then we were close to that 10% or double-digit gains. So I think there’s some impact in there. So again we can walk through in and then as far as margin again I can talk a little bit too and I know one of the things in the release showed games at 41.5%. That was again due to some capitalization of cost. I think that that margin will come back up to 45% to 48% going forward. I think the recurring will stay in that 89% to 90% margin.
David Bain: Okay. Great. Okay and then just finally can you give us a little color on how the sales process work with the four orders you mentioned. Is there a defined sales process for cross-selling at this point or this situation or I guess trying to get a sense as to how quickly we can or really want to ramp the synergy given the current content abreast?
Ram Chary: I wouldn’t say there’s a defined process as we described at a high level and it was part of a thesis of the acquisition of Multimedia. We believe that we have a tremendous distribution channel relative to our payments relationships and the landscape that we cover across the North America and casino preference that we have in payments. So the idea is to leverage that to take a low single-digit share historical organization Multimedia and grow it and grow it aggressively. So generally speaking that’s the way things go, but that doesn’t capture all of those instances. Sometimes they go their way and I think the important thing is to talk about the new commitment we received as a company as we move forward that identify us as a strategic partner in both payments and games.
David Bain: Okay. Great. Thank you.
Operator: Our next question is from George Sutton with Craig Hallum.
George Sutton: Thank you. I wondered if we could is there something more tangible to say relative to the strategic position you mentioned with these four customers relative to the gaming side of the equation.
Ram Chary: There will be I think we’re at different stages of the commitment process some signed, some haven’t signed. The ones that are signed we’re still working through our ability to communicate the specifics with the client. So we definitely have those four commitments. As we described there at least four we are optimistic that we’ll have more than that. But there are different stages and until we can get not just a signed document, but clearance and approval from the client described the commitment they’re making to us that’s about all we can say right now.
George Sutton: Okay. There was no discussion relative to your top 10 customer you mentioned on your call last quarter. I wondered if you could give us an update there?
Ram Chary: Yeah still not change and it’s not in any different situation than it was. They’re internally trying to get their collective heads around the idea that we have a solution offering as opposed to your product offering and we’re looking for a strategic partner to mid to long-term. And again I continue to be respectful, our Management Team continues to be respectful in terms of having them digest that, embrace that and make the right business decision for their organization. So it’s a no specific timeline for its strong going.
George Sutton: And lastly relative to your new branding campaign, I wondered if you could just walk us through the thought process of creating the new brand was there some confusion that you heard from customers or I’m kind of curious how was the genesis of this and how you came to the conclusion?
Ram Chary: Well I can’t walk you through logic neither global cash access, nor GCA actually identifies the creativity and the passion we have around our games business and developing performing slot machines. Correspondingly Multimedia gains also does not describe the power of our payments offerings and our ability to transform in aggregate the casino floor. So we’re looking or a name that's either descriptive enough or generic enough that will allow us to capture the unique positioning we have in the market and the strategic nature of our position with our customers. We had originally thought that process would take anywhere from 12 to 18 months. We did focus on one of our owned logo marks, one of our own brands in our portfolio where we owned a domain and owned the trademarks associated with it. So that was one element that clearly accelerate this process for us. And the other again is what we believe to be our longer term market opportunity. We want to be identified as the most strategic partner in the casino supply space to casino operators. And we thought the faster that we can get along with identifying ourselves with the new brand and a new local market and as I mentioned a new ticker symbol on a New York stock exchange the senior people will embrace our go forward and not necessarily point to our past.
George Sutton: Just to clarify that, you therefore -- you have chosen a brand that will get revealed I assume consistent with this announcement.
Ram Chary: Yes, late August. New name for our company, new logo mark, new ticker symbol.
George Sutton: Okay. Thank you.
Operator: Our next question comes from John Davis with Stifel.
John Davis: Hey, good afternoon, guys. Quickly can you talk about not to beat the dead horse here, but the four executed kind of commitments from cross sell opportunities, high level can we talk about size, something rather meaningful or couple of meaningful, couple of non. Just trying to get a sense for how big an opportunity this could be down the road?
Ram Chary: Well I can only give you the two dips in our qualitative terms, we believe them to be meaningful, they're all meaningful in different ways and that they represent a true cross-sell or true cross-market opportunity or they represent a unique identification decline of our strategic partner. There are of different sizes. It's probably best for you in the broader markets to interpret those commitments, once we can describe them in specific terms, but we're excited about them and we believe it's just the beginning of how we will grow our business over the next few years.
John Davis: Okay. Thanks and then just trying to hammer down and really drill on the lowered EBITDA guidance midpoint down $20 million, I am just trying , can we get roughly rebranding is that $2 million to $3 million and you had $6 million to $8 million for people, $2 million to $3 million for office. Was the jack part of revenue, I know it's small, but was that previously in the guidance because I am getting like basically the revenue guidance as roughly down $5 million or so, just trying to do back of the envelop and I think any detail here would be appreciated.
Ram Chary: Relative to the sale of the PokerTek asset that revenue was in prior guidance or any prior guidance assumption as it relates to EBITDA and that would be a change in terms of what we previously communicated. Relative to some of the buckets that led to us taking down guidance in the full year, we did describe our rebranding to be up several million dollars is how we describe it. Most of that will hit in the second half of the year. As we talk about from a studio content team perspective we have to make facilities commitments to hire people. Most of that would be OpEx. There is a little bit of an investment that's CapEx. So there are a lot of things going into those investment buckets and again that timeline is getting accelerated to somewhere between 3X and 4X what we had thought when we stated the year. So those are all contributing factors.
John Davis: Okay. That makes sense and maybe just to be clear, ex Jackpot coming out, is there any other change in the topline outlook?
Ram Chary: We would have to walk through that with you relative to your model. As you know we don't provide revenue guidance and it's hard for us to bridge something that might be in your model, but we're happy to help John as you know.
John Davis: Okay. No, fair enough. And then any comments you can make on 3Q trends both on the payments and game side, the things continue to go kind of as expected. It seems like the payments are solid but more commentary on the game side and obviously the industry on the thought side is struggling, but any kind of commentary you can give there as success you have kind of 3Q to date would be helpful.
Ram Chary: Well as I described in my prepared remarks, we're proud of the fact that we're growing at near double digits in an environment that everyone knows is challenged and we believe in a short term, we will be able to continue to do that. The exciting thing for us is that we believe there is bigger opportunity in the medium to long term and we're pivoting and we're pivoting very significantly towards repositioning an investment so that we can capitalize on that go-forward opportunity. There will come a point that's maybe not this year, but we believe to be in the next few years where though machines and casino floors as the cycle has gotten stressed out for replacement from five to six years now to 10 to 12 years. There will come a point where replacement parts become difficult to obtain. Machines just won't be worth fixing and there will be a desperate need for new content and new cabinets and when that happens to the extent that we believe there will be some form of opportunity for that, we want to be ready and we believe we're unique in the space and that there are not many firms in the space that are competitive with ours who are making deepened investments in these places. And so we feel that our investments will pay off in the space to the extent that we can execute.
John Davis: Okay. Thanks and then one final one for Randy, just did you guys disclose the CapEx in the quarter? I am not sure if I missed that.
Randy Taylor: Yes John, the CapEx for the -- well not in the quarter, I just gave a full year, so you just have to back it out, but we gave $32.5 million in total year-to-date.
John Davis: Okay. Perfect. Thanks guys.
Operator: Our next question comes from David Katz with the Telsey Group.
David Katz: Hi, good afternoon.
Ram Chary: Hi David.
David Katz: So my question really is around the integration of the two businesses where A, a part of the philosophy as I understood it was to accelerate the proliferation and the license opportunities for multimedia existing games as they sit today. Are you selling into new states? Is there I know we've talked about some cross-selling opportunities that we'll hear about in the future, but is there any update on that acceleration or proliferation in that addressable market for multimedia games as we sit today and the time since closing on the deal?
Ram Chary: Well I'll describe two things David. First, is that the time we closed the transaction in December of last year, we were optimistic that we would very expeditiously push through the slots prior licensing process and have licenses and jurisdictions where we could offer legacy multimedia slot product where they've never been offered before. And we're still very bullish and optimistic that will be the case, but we've not been able to push the licensing produces as fast as we had originally thought and that delay is only by months, not by years, but in the short term, there is no question that that impacts our ability to receive the benefit of those new jurisdictional opportunities. The second thing is as we had these interactions with the clients especially the ones in the new jurisdictions it's become clear to us that there is a much larger market opportunity for us is we had more content and as some of these jurisdictions open up, if we had more content, a deeper water library we could probably get that much more sold and so that's led us to the repositioning in investment phase, it's led us to make the short term decisions we have and we're still as close as we've ever been. But frankly that licensing process through jurisdictions has taken longer than we thought.
David Katz: All right and just to get a little more specificity around that and you said months and not years, help us set our expectations for the remainder of this year? Should we expect to hear about ether through you or from our own work about any new markets that become available to you?
Ram Chary: You will. I would say in rough times there are about a half dozen new jurisdictions where our games are currently on trial. Typically those trials are 90 days. Most of those have only happened in recent weeks and months, but I would say in the second half of the year we're very optimistic that we will be able to close and demonstrate the value of those new jurisdictions.
David Katz: All right and then if I can just go back to the cost side one more time, if we're essentially, it looks like adding just about $18 million or $20 million in for the back half or basically those last three quarters this year, but at the same time we're capturing a run rate of $24 million of synergies, which obviously isn’t a full $24 million. It's ramped in. Can you just add some specificity around what that synergistic capture is coming out of or into or what we realistically should be thinking about for the next couple of quarters on that?
Ram Chary: Well the best way to describe our synergy target and achievement is that their annualized run rate as you described and we believe we're on track for the $24 million by the end of this calendar year. A different way of saying the same thing is that as you approach 2016 we will realize $24 million of P&L benefit from the synergy actions that we took throughout this calendar year, but the flip side is the investments we're making they will have a fairly significant full year run rate as well. Only a portion of that will get realized in this calendar year in 2015. At the same time only a portion of the $24 million will get realized this year. So you're dealing with partial run rates this calendar year and full run rates more likely next calendar year and so the reduction in our guidance as it impacts our short term profitability attempts to balance those things.
David Katz: So if I am hearing correctly, the cost impact is going to roll throughout next year or impact a good portion of next year as well?
Ram Chary: Well our new studio build out in Reno and Chicago and the outage and investments we’re making in Austin will be part of an ongoing run rate and cost of us doing business. They will not be one time. They will be additive in terms of our ongoing run rate. The portion of our second half investments that will not be repeatable that will be onetime in nature do relate to our rebranding. The rebranding spending and investment is really a 2015 spends that won’t occur next year.
David Katz : And that was described as several million dollars I believe?
Ram Chary: Correct. And I think when you and others have a chance to see the full extent of our rebranding from our name to logo mark to new colors represent our logo I think you’ll see the extensive nature of that effort and we believe that it will be a worthwhile investment as we grow our company.
David Katz : All right and just finally not to drag in on too long, but if we were to evaluate your level of conservative and formulating your guidance from 90 days ago till today on whatever scale you’re comfortable with one to five or anything else. Are you do you believe you are more or lesser the same level from where you were 90 days ago?
Ram Chary: Well I’d answer it this way, when we entered the year, we issued our guidance with all and odd we had in terms of how we’re going to execute this year. There really has just been two meaningful changes is that. One, which is a smaller impact is that we are tracking ahead of our synergy objectives, which is a process. The much larger impact that goes the other way is that we did anticipate investing as much as we are as quickly as we are to ramp up our contact capacity. And so there is no question that if we did not take a medium to long-term view and try to execute and be done by the end of the year and call it the finish line our previously issued guidance is something we absolutely could have achieved. But given that we’re in this for long haul, we’re in this to really grow this business over the next few years and be that strategic partner to our clients we made these changes and so our newly issued guidance range reflects everything we know about right now about our second half.
David Katz: Okay. Thanks very much I’ll give someone else a chance.
Operator: [Operator Instructions] And we’ll take our next question from Matthew Gladstone with Highbridge.
Matthew Gladstone: I know you mentioned $21.6 million of realized synergies and then $24 million to be achieved by the end of the year. Can you give little clarity on how much of that $21.6 million was flowing through the P&L for this quarter? And then whether or not you guys still feel that you’re on track? I know you announced $30 million as the full run rate by I guess two years out at your close. Do you still think you can achieve that? Are you higher on that number? Where do you stand with relation to that $30 million?
Ram Chary: We identified the synergy opportunity at $30 million at the time of doing the acquisition we came up with it with the very high level of granularity and detail and lot of specificity around the actions that it would take to achieve those numbers. Clearly because of the detail that went into it the planning that went into it, we’re executing well against that number. At the same time it was so detailed and so specific there isn’t really meaningful upside against that number. So that $30 million will not change. Our run rate relative to achieving against that $30 million is clearly ahead of track but the $30 million won’t change. As far as the question about how much has flowed through the P&L to date it's very difficult to be composed at and we’ve got some things that will hit us in a short term, will hit us as benefit later this year. It’s really a mixed bag and our tracking of it is more about just really identifying the actions we need to take to realize it. Once those actions have been completed we count it as realize in terms of our objectives that doesn’t necessarily speak to have a they fall into a P&L.
Matthew Gladstone: Got it and just for clarity how much have you taken your synergy expected realization up for the full year?
Ram Chary: We have not. So we said 24 for 2015 the remaining six for 2016 those are unchanged.
Matthew Gladstone: So the 12 -- the full delta then if I’m correct in the EBITDA forecast should then just come from the two really discreet line items that you mentioned or just R&D spend and then the several million dollars of re-branding cost?
Ram Chary: That’s correct.
Matthew Gladstone: And just I guess by little clarity on several, are you talking low millions like $3 million to $5 million, are you talking high single-digits like several I guess it’s kind of hard for me to grasp my head around?
Ram Chary: Well and I think the challenge for us is that we haven’t fully determined that number. They’re clearly investments we’ve made to-date relative to other things I described that growing to a rebranding effort, but how much we push in terms of marketing, potential advertising, potential presence at various shows including the Annual G2E Event in the fall. Those are still things to be determined. So there’s still a fairly wide range in terms of what that would actually be and we’re not just comfortable marrying it out at this point.
Matthew Gladstone: Great. Well thank you and good look and congrats in branding.
Ram Chary: Thank you.
Operator: Our next question comes from Todd Eilers with Eilers Research.
Todd Eilers: Hi, guys. Thanks for taking my question. I wondered if we could talk a little bit more about the increased investment in R&D expense. You talked about obviously taking the number of studios up from eight to 16 over the next 12 to 18 months. You mentioned the two studios, Chicago and Nevada. You also mentioned talking with some of your customers it became obvious or clear to you that you needed to increase the amount of content. So, with all that being said, I guess I'm wondering is it simply just a numbers game in that; hey, we just need to get -- our games our doing well. We just need to get more of the same type of games out there. Or did you, in the process of kind of speaking with your customers and taking a look at the market, are there certain game types or certain segments within the floor that you feel like you need to focus those R&D dollars on i.e. should we expect more of the increased R&D to be in maybe the premium-leased segment of the floor or possibly class II versus class III or maybe a certain product type within the class III segment? I would just kind of be curious to kind of hear a little bit more color in terms of the focus of the increased R&D dollars going forward. Thanks.
Ram Chary: Yeah great question. Relative to class II it’s been a historical differentiator for our games organization. We believe the market opportunity for us to be the beneficiary of organic growth is disproportionably higher in class II than class III and as a result we’re going to deepen our investments in class II. We’re going to do some things differently than it have been done in the past in our organization. We’re going to dedicate specific studios class II content which haven’t been done before and we’re going to increase the run number of class II developers that we have in general. So we’re going to deepen what we do in class II. In class III we’re also going to add class III capability similar to class II. I think the distinction is again unlike the legacy Multimedia games we’re actively pursuing specific license content opportunity, which is something the prior organization did not do and we’re doing that again because while I come to learn that it’s fairly cyclical in terms of operator demand for license title we believe that we’re in one of those cycles where there is adequate demand and we can capitalize on that if we do something\different than it's been done in the path. So license content is something we’re pursuing a much deeper investment in class II is what we’re pursing and then in the class III space in particular, we’re trying to identify new hardware that we think will make a difference there.
Todd Eilers: Okay. Perfect. Thanks guys.
Operator: And our final question comes from David Katz with Telsy Group.
David Katz: Hi. I just wanted to follow that up. When we and your customers arrive at G2E this fall, how much of this will we see? What's it going to look like for us and how different will it be from Multimedia's last year?
Ram Chary: Well I think what you will see that will be a significant difference will be a rebranding you at G2E won't see evidence of the legacy GCA name or brand and you won’t see evidence of the legacy Multimedia name of brands. So that will be a very significant change. Our color scheme will be different. So just a presence that we have there as the company will be different. So those millions of dollars of investment will be very visible to you and anyone else who attends the conference. Relative to content whether it be hardware or specific game content, those investments we're making now won't be visible until year G2 year 2016 and that's just reflective of the ramp in terms of getting these people on Board, getting the studio structured and getting content developed through those pipes.
David Katz: Okay. Thank you.
Operator: Thank you for your questions. I would like to turn the call back to Randy Taylor for closing remarks.
Randy Taylor: Thank you for joining us on this call this afternoon. We look forward to discussing further progress of our business when we report our third quarter results.